Company Representatives: Sigve Brekke - President, Chief Executive Officer Tone Bachke - Executive Vice President, Chief Financial Officer
Sigve Brekke: Good morning to everyone. To some of you also good afternoon, and welcome to our third quarter presentation. This quarter is another steady quarter in how we are operating the Telenor business and I'm pleased to see that our growth ambition, it's delivering solid results in all our Nordic operations. The pandemic continues to affect our operations in Asia, but we now see sign of improvements and a normalization of societies and the economies that we are operating in.  This was a strong quarter with respect to subscriber growth, across almost all our operations. We added almost 2 million new subscribers in the quarter and year-to-date we have added 7 million new subscribers in our operations. In my view, this is a proof of the strength of Telenor’s operating model. Also, in this special circumstances that we have had in the last, in the past quarters, and to further underscore the strength of our operations, we delivered a cash flow of 7 billion in this quarter.  Then let me go through some of the results and starting with Norway. Norway, and I'm very pleased, delivers another solid quarter and continues its excellent balancing act of growth and modernization. And as you may know, we are now only five quarters away from the targeted deadline of our copper shut down, getting rid of our legacy technology.  The growth from increasing mobile ARPU and fixed future revenues was 4%. I’ll let you know, we are running again on peak run rate in the copper decommissioning project. As a result of that, the total S&T revenues decreased by 1% in this quarter. EBITDA remained stable in the quarter as reduced gross profit caused by decline in copper revenues was offset by structural cost initiatives reducing the OpEx.  As we also have talked about for several quarters now, we have started the journey that is called ‘Beyond Connectivity,’ putting services on top of data access. The focus is on near core services like insurance, storage and security. And we started this journey in Norway some quarters ago and service revenues have become an important part of the business model, and I see a potential for continued growth in this area, both in the B2C and in the B2B segment. And this quarter we was a 6% growth in services revenues in Norway, bringing the total growth to NOK531 million.  Then to the other Nordic business units. Finland and Denmark, both delivered strong S&T growth of 4% in the quarter. In Finland the growth is driven by mobile up-selling from 4G to 5G and growth in the consumer segment for fixed broadband. While in Denmark we see a targeted and focused strategy yielding solid results.  Telenor Sweden as you know is in the stabilization phase and reports a 2% reduction of S&T revenues in this quarter, and mobile S&T declined by 1%, which is more or less the same level as the previous quarter. As I have stated before, I'm not satisfied with this result in Sweden and we will do better. However, Sweden has for the last couple of years been through a modernization journey.  The second quarter was a milestone in respect of the IT transformation program with migration of customers to the new RT BSS platform. During this modernization however, Telenor Sweden has been working towards having a stable subscriber trend. Our ambition is now to take a clear remarkable season, especially with our Telenor modern brand and capitalize on our 5G and network investments. It will be important for us to address the pressure we have experienced on ARPU the last year, because as we see it, the Swedish market should be a growing market and we would like to take our fair share of that growth.  Now, we’ll move to Asia. Here again, I show you the same graph as we have shown you several quarters now in a row after the pandemic came. Our Asian markets experienced unfortunately another wave of COVID this summer. However, due to our modernization efforts, our operations are now more resilient and robust than they were before the pandemic. This includes both digitalization of our distribution channels and the implementation of touch-free operation; I'm going to talk more about that later.  As a result of this, we can see that you have been able to add new subscribers in all the Asian markets during this quarter. In Pakistan and Bangladesh, they had the S&T growth of 7% and 2% respectively. And in Thailand we have faced pressure on the top line, and I will come back to Thailand in a minute.  In Malaysia, the solid quarter-on-quarter improvement come from efficiency focus and strong market execution, resulting in a stable Q-on-Q S&T revenues. However COVID continues to post uncertainties, but we do see now that the fog is lifting and the societies and the economies are opening up. So we are optimistic about the coming quarters.  Then a little bit more about Thailand. In Thailand we continue to see a significant headwind from the pandemic. Most of the third quarter was affected by country-wide lockdowns leading to reduced call volumes. And as the COVID situation persists, we see pressure on ARPU development as a result of reduced affordability among our customers, but also a tough competition in the market.  When the pandemic hit dtac had a very strong position among tourists and migrants, even higher market share in those two segments than overall market share. And when Thailand closed down, this resulted then in a material reduction of the customer base in the beginning of 2020. Since then, dtac has then focused on the domestic market and has quarter-by-quarter been successful in attracting user subscribers and increased their customer base.  During the last year dtac has gained access to the 700 frequency spectrum. This has not only meant better coverage out in the remote areas, better indoor coverage in the more city type of areas, but it has also increased our net promoter score among our subscribers. We also see customers coming in on the 700 frequency spectrum with a higher ARPU and a lower churn.  With a modernization efforts conducted during the pandemic, I believe dtac is well positioned when the economy activity in Thailand starts to increase. I'm pleased to see now that the Thai government has signaled that they want to reopen their country for vaccinated tourists from November 1.  Then, I want to go back to the three strategic pillars that we introduced at our capital markets day in the beginning of last year. And our structure remains the same, and as we also have said before, we have decided actually to accelerate some of the strategic programs during the pandemic. Let me give you some views on the main focus going forward.  Starting with the pillar on growth: In the Nordics we have demonstrated strong value added service growth in the Norwegian markets and I talked about that. I did not believe that taking service learnings from Norway into the other Nordic operations can yield the same results there over time, and this is why we have just recently launched security services in Sweden and Denmark, and for the B2C segment, and we are also launching new B2B services, especially in Sweden.  The rollout of 5G increases opportunity to broaden the service offerings and use brand and distribution capabilities to address what I call Beyond Connectivity type of services. The growth in Asia, we will continue to capitalize on the data growth, and remember, that in Pakistan, Bangladesh, their penetration of smartphones is still relatively low. As the economies are now opening up, we will leverage our granular go-to-market approach and personalization capabilities to attract new subscribers and stimulate data use and mitigate the ARPU risk.  Then to the second pillar, modernization. During the pandemic, as I said we have accelerated some of the programs, including modernization and digitalization initiatives. And we are moving then [inaudible] what they call the touch free operation, using robotics and optimization to run our operation. Currently more than 50% of our network and IT operation is now fully automated and intelligent. The closed adoption of network functionality is already at the 65% level and we are targeting 75% in the network domain. On IT, 45% of all the IT applications are now in the cloud, and 90% of the data traffic. I will claim that we are an industry leader in this respect.  We are also sun setting our legacy networks. Copper in the Norway is one example of that, but there are also more examples. We have sunset the 3G network in Norway and we are about to do exactly the same in Malaysia. And almost 40% now of our entire network across the business units are 5G enabled. We are about to become what they call a digital telecom and as a result of that, our operations today are more efficient and more resilient than it was in the beginning of the pandemic.  The last strategic pillar, responsible business. We have started to take steps on our climate ambition. We have put forward test targets on being carbon neutral in the Nordics by 2030 and 50% cut all carbon emission in Asia also by 2030. While we have a clear path on how to do that in the Norway – in the Nordics where we have access to renewable energy, the cut, 50% cut in Asia requires strong efforts in both, reducing their energy consumptions through network modernization and A.I. based management, but also to work on getting access to clean energy sources.  I’ve also in previous quarters talked about our ambitions when it comes to the structural agenda. Our structure aims to strengthen our positions in the markets where we are present. This is the rationale behind the planned merging in Malaysia, which is progressing according to the plan and we expect, as you have said this before, to see this approve during the first half of the coming year, and we will also continue to look for other value creating structure opportunities in our portfolio. And with this, I’ll leave the floor to Tone that will go through the financials.
Tone Bachke : Thank you, Sigve, and good morning and good afternoon to everyone. As Sigve alluded to, we see that COVID continues to impact our operations in Asia; however, despite pressure from lockdowns also in this quarter, I believe we overall deliver a solid set of results.  Organic S&T revenues remained stable. A solid performance in Finland, Denmark, Pakistan and Bangladesh, offset the revenue decline we see in Thailand, Malaysia and Sweden. OpEx decreased by 1% and our focus on structural modernization continues according to plan.  EBITDA decreased by 2%, driven amongst other things by the one-off item in Sweden last year impacting EBITDA with approximately 1% and we also see increased energy costs impacting both OpEx and COGs. Free cash flow for the period ended at a strong NOK7.2 billion summing up to NOK13 billion so far this year.  Moving to revenues, the organic S&T revenues remained stable this quarter. We see as I said, continued solid performance in the Nordics, with Finland and Denmark being the high performance this quarter, both showing 4% growth. Finland is delivering growth from 5G upselling and fixed broadband, while the solid performance in Denmark is a result of targeted market initiatives, which has resulted in a 4% ARPU growth and 1% increase in customer base year-over-year.  In Norway the solid performance in mobile continues with 3% mobile ARPU growth, and excluding the revenue, the subs and traffic revenues increased by 4% and this is almost offsetting the high 46% decline we see in legacy revenue this quarter. The copper decommissioning is progressing at full speed, as the copper customers are actively seeking more modern solutions. The retention rate is so far above our expectations.  We also continue to see solid performance in Pakistan in this quarter. They delivered a 7% growth, which is driven by 6% increase in customer base. We also see a 35% increase in year-over-year data revenue.  In Bangladesh the strong customer growth continued, adding another 1.6 million subscribers this quarter. We are delivering a growth of 6 million customers or 8% in the last 12 months. Overall S&T revenue ended at 2%, and we also here see a strong increase in data revenue of 23%.  In Sweden, as Sigve said, we are in a stabilization phase. The S&T revenues as you see decreased by 2% and mobile S&T revenue decreased by 1%, which is in line with the 1% we saw last quarter and a result of ARPU pressure, both in B2B and B2C. The subscriber base is up 2% from last year and as Sigve also said, going forward we aim to improve performance particularly in the B2C segment, especially related to our main brand.  In Malaysia we see decreased revenue of 3%. However, we also see gradual improvement in performance from targeted market initiatives supported by government stimulus package and easing of restrictions as a result of high vaccination rates.  In Thailand, lockdown in the third quarter and a long lasting COVID situation is impacting competition and also people's purchasing power. As such, we see ARPU pressure is more than offsetting the positive subscriber growth we have seen in the last year.  Moving to OpEx. As you might remember, the third quarter last year was a very strong OpEx quarter with a reduction of 8%. Despite this, we still achieved a 1% OpEx reduction this quarter. We continue to balance out underlying cost increases by delivering on our modernization agenda and structural initiatives. So far this year, we estimate that savings from structural initiatives amount to NOK800 million and is supporting the net OpEx reduction of NOK700 million or 3% year-to-date.  A good example of this is Norway, which delivers a strong quarter with year-over-year OpEx reduction of 3.5%, driven by exactly structural modernization. We also continue to see solid contributions for modernization in Thailand.  The cost reductions can be observed across all categories, except maybe not surprisingly the energy area. In line with market development, we have seen increased energy pricing during the quarter and particularly in Norway in the Telenor Infra Company and in Pakistan. The energy cost had a negative impact of NOK80 million on OpEx this quarter, which is equivalent to an increase of 1%. As for energy costs, I would like to share some more insight into the development we see.  We have received some requests, though quite a few in respect of energy costs, so that is why we would like to share a bit more of what we see in this area. And compared to last year, we see an increased energy cost of NOK135 million. The increase is evenly split between increased prices and increased volume. The growth in volume is naturally a result of an expanded network footprint and increasing data usage among our customers. As part of our climate agenda, as Sigve also talked about, we are running group wide energy projects to improve energy efficiency and to reduce our CO2 emissions. This work is led by the technology teams as an integrated part of the Telenor’s technology strategy.  We estimate that we by these initiatives have been able to reduce the increase in energy consumption with 50% from an forecasted 8% increased to 4% increase in the first half of this year. And this is despite seeing a 23% increase in data consumption and also having expanded our network footprint significantly the last year. This focus and project will be an important contributor towards our climate target asset. In addition to limiting our energy consumption, is looking for green energy deployment in our markets by rolling out solar power to targeted sites.  Going into 2022, Telenor will amongst other things run a greener energy initiative in Pakistan to increase the share of energy from both solar and wind. Furthermore in the Nordics, various alternatives for deploying and evaluating green energy are ongoing, including power purchasing agreements. And looking at the graph, we see that the impact of price is highest in Norway reported through Infra and in Pakistan, while we see the impact of volume is highest in Thailand and Bangladesh due to the extensive network rollout in the last year.  Moving to EBITDA. The organic EBITDA decreased by 2%. We see solid performance in Pakistan, Bangladesh, Denmark and Norway, which contributes positively. The EBITDA growth in Finland is muted as a result of an accounting correction of NOK85 million. Adjusted for this correction and also for the reassessment of lease contracts that we talked about since last year, we see an underlying EBITDA growth in Finland of 4%.  In Thailand tough competition, lockdowns and reduced affordability is putting pressure on S&T revenues and as such EBITDA, but it's partly mitigated by solid OpEx reduction. The development in Sweden is impacted naturally by the large positive one-off related to the copy Swede settlement last year; however, the underlying EBITDA decreased also by 4%, and this is driven by negative development in S&T revenues and also increased sales and marketing costs in the quarter.  In the other category, increased energy cost as I mentioned in Infra in Norway and also higher costs related to increased activity levels and also M&A are the main contributors to the negative impact. Across the group, we see the impact from increased energy costs negatively impacting EBITDA with approximately one percentage point. All-in-all and without the negative impact for these above mentioned items, the underlying operational EBITDA is slightly positive.  Moving to net income. Net income to equity holders of Telenor was NOK2.6 billion which is a decrease of NOK1.9 billion from last year. This was primarily explained by negative impact from currency on financial items and EBITDA, in addition that we last year had a gain of disposal of assets of around NOK900 million. These negative effects were partly offset by lower taxes. Earnings per share this quarter ended at NOK1.89 per share and the return on capital employed on a 12 month rolling basis remained stable at 13%.  Moving to the cash related items, CapEx excluding licenses amounted to NOK4 billion. In Norway the 5G rollout and copper decommissioning is running at full speed supporting our superior network position and laying the foundation for future services revenue growth. In addition, 5G investments in Finland and coverage expansion in Thailand are key elements of the CapEx spent. CapEx to sales ratio for the quarter was 14.6% and year-to-date the CapEx spend is 14.7%.  Cash flow before M&A was NOK6.2 billion or NOK7.2 billion including the third tranche of the CE deferred payment we received this quarter. This figure also includes NOK0.6 billion related to Myanmar. The increase of NOK2.8 billion compared to last year was primarily driven by working capital improvements, but also the asset payment of NOK1.2 billion that we had this quarter last year. Total cash flow year-to-date stand at NOK13 billion, which is equivalent to this year's dividend amount. Leverage ratio this quarter decreased to 1.9, driven by the solid cash flow generation.  And lastly, I conclude my presentation with the outlook for the full year. As we have seen this quarter, the performance continued to be impacted by the ongoing pandemic, and even though COVID still represents an uncertainty, we do see signs of improvement on the horizon with regards to the opening of societies and economies. In the Nordics we are basically back to normal, except of course the roaming revenues.  Our expectation for 2021 were based on a gradual recovery in the Asian portfolio during the second half of the year. Overall, the Q3 results are in line with our expectations and we maintain our outlook for 2021; however, we do observe that the year-to-date performance is in the lower end of the range.  And with this, I wrap up our presentation and open the floor for Q&A Sigve? And moderator, may we have the first question please. 
Operator: [Operator Instructions] We will take our first question from Maurice Patrick from Barclays. Your line is open, please go ahead.
Maurice Patrick: Good morning, guys. Thanks for taking the question. Do you think I can just dive into Sweden a little bit. I mean Sigve in your prepared remarks you talked about how you’re not happy with the Swedish development and how the market should be growing. Maybe if you could update it a little bit on what – why the kind of the revenue growth declined from the second quarter where you had already talked about the stabilization, whether it was tough comps or what drove that? And then just in terms of some of the trends you're seeing, I've always seen Sweden being probably more SMB focused than your estimate markets. I just wonder whether your sort of view on the operations was the same for all your segments, so whether it has B2C going particularly well or large enterprise. So would you spend some color in terms of how you see your operations across your verticals? Thank you. 
A - Sigve Brekke: Yeah, thanks Maurice. No, what I tried to say is that we have been through a technology transformation. That is now more or less concluded and then we have been focusing on arresting the subscriber decline that we have seen in the previous quarters. And now we are really looking at how can we now, with the kind of base in place be more active in the market with services and products. So then to answer your question, we are happy with the way our low end brand is doing. That’s the Vimla brand. It’s a fully digital brand and we see that we are acquiring a lot of customers in the price sensitive segments. We are happy with that. We are quite happy with the SME approach that we now have and we see that we are holding or even taking some market share there. So the two main issues we now have to address is the more high end customers in our main brand, the Telenor, and we need to be clear in the market position on that, and it is on the larger B2B customers.  On the larger B2B customers, we see now an interest of moving interest specially as [inaudible] services as a software defined services, and there is an ask from these customers, B2B customers, to do something there, and they are also now trying out private networks. But the main focus in the more short term window is then to be clear on our main band [ph] decision and then with the UBSS-Techno [ph] in place, be also more competitive on products and services out in the market.  So that's what we are doing and that's why I'm saying that we have stabilized the subscriber trend. We have more of the stabilized revenue trend. It goes a little bit up and down in the quarter and now we've returned to growth. I cannot tell you exactly when that's going to happen, but we see now that activities are put in place is. They are going to give us most hopefully a growth path where we take our fair share in the market. 
Operator: Thank you. Over to our next question from Peter Nielsen from ABG. Your line is open. Please go ahead. 
Peter Nielsen: Thank you, very much. If I may, a quick one for each of you, Sigve and Tone. Sigve you describe another very strong quarter in Norway and obviously you talked about the strong uptick of fiber and fixed wireless access, but also noticeable of course if you're going on the postpaid segment in mobile now again after some time of decline. Are you seeing Sigve early signs of 5G uptick and perhaps your leadership on 5G? Is that what is starting to come through already now, please.  And then Tone, just thank you for your comments on the energy cost and the impact, etcetera. Can I just ask on a broader level, because we expect sort of consensus I guess, expect increasing inflation sort of on a not just any energy cost, but on a broader level Tone, what -- how do you think you will impact that now and how can you mitigate the impact of increasing inflation, particularly perhaps my question is related to the Asian operations where you arguably have limited pricing power. Thank you. 
Sigve Brekke : You start Tone, so that I can think about it. 
Tone Bachke: Yeah, yeah I will start. Thank you Peter, yes we see of course that we are now in inflation mode in several countries and expect to be that going forward. This is of course you see how we are managing the OpEx, it is a key priority for us and we are continuously working on these structural initiatives. And as I said, we do see underlying cost increases in several markets, but that is why it's so important to continue to modernize and have structural initiatives, so that we are able to mitigate these increases.  And then it will be, as we have said all the time, it will go potentially a bit up and down going forward, but that would be our objective going forward and what we see is that the portfolio of opportunities to improve the cost base, that is renewing itself as we develop and move towards becoming an even more modern Tel Co. 
Sigve Brekke: Yeah, and then to Norway. There you know which management, they are really focused on the balancing act of not losing subscribers, but at the same time not being too aggressive with new market offers, because we do know that which market has a growth potential. And as a market participant, we should not be a part of destroying that overall market growth.  So what we basically are doing is we now start to see some benefits out of our 5G rollout. We definitely see benefits of the very strong network position we have in 4G. We see benefits of the services that I talk about, and I think the ARPU growth in Norway now, but half of it comes from connectivity and half of it comes from new services. But we are also following their competitive landscape. So we have also adjusted some of the price plans and the offers they have out in the market. So it’s a mixture of that, that has enabled us to both grow ARUP and also then in this quarter arrest the subscriber decline. 
Peter Nielsen: Thank you, both. Very useful. Thank you. 
Operator: We’ll take our next question from Ondrej Cabejsek from UBS. Ondrej your line is open. Please go ahead. 
Ondrej Cabejsek: Hi! Thank you for the presentation. I had a couple of follow up from Norway please. So in terms of the legacy decline, can you just walk us though the kind of timeline in terms of you know, mentioned we're still at the peak, but then if I look at the subscriber numbers, what is left to basically decommission over the next five questions, it would seem that we are approaching at least going into 2020 some kind of lower drug from this segment. But in terms of Altibox acquiring Spectrum and then talking about wanting to rollout fixed wireless access quite extensively, what kind of risks do you see from that fewer so called further fixed revenues across Norway.  And finally, in terms of your main competitor being a bit more active in terms of bundling and family offers, how do you see that impacting Telenor. Thank you for the three questions, thank you. 
Sigve Brekke: Yeah, your first observation is correct. We are now approaching the kind of long tail of the remaining customers on the copper network and that's why we are saying that we are really peak right now. I think we are – the revenues that are declining, I think – declining, I think is around $250 million on a quarterly basis now. I remember that its NOK 3.5 billion in revenues coming from these customers when we started this program and then they are now churning out quite quickly.  We are very determined on meeting our objective or shutting this company network down by end of next year. So yes, you are right, you will probably see that the peak we are talking about now, around $250 million will gradually reduce going forward.  Then to your other question, I don't want to comment on our competitors, but what I can say is that we see that there is land grabbing still on fiber, that's why we are running full force the fiber rollout. This varies a little bit from quarter-to-quarter and you will see a higher fiber uptake in Q4 than you saw in Q3, so its partly seasonally.  We are also running full force on the fixed wireless access product that we have and especially now when we are going to introduce that for the 5G network, and so that’s a land grabbing that we see and that will continue to for quite some time.  And then you see there are some blind spots also in areas where the people already have fiber, and of course we've been looking at offering those blind spot customers with these wireless solutions rather than rolling out parallel fiber and I guess our competitors are thinking about the same.  When it comes to the family offer, that is something that we traditionally have been very strong in our value proposition in Norway and that’s also what we are continuing now to see, can we come out with some new products and services in that segment, because this is a statement that I think we traditionally have a strong hold in. 
Ondrej Cabejsek: Thank you very much. 
Operator: Our next question from Nick Lyall from Societe Generale. Your line is open. Please go ahead. 
Nick Lyall: Yeah, good morning, everybody. Thanks for taking the question. Can I just ask a bit of straight forward one firstly on Pakistan facing there. I mean you had some choice cuts in the quarter, but the growth seems to have slowed. So are there any other issues that we should think about there, the economic problems starting to bite. Is there anything you could tell us about the bank drop?  And could I clarity secondly on the Swedish question for [inaudible]. Just on the – you talked about investing in the main brand, but presumably that’s going to be expensive, isn’t it? So how long is that going to take and is that a big investment in marketing over time or do you have to have a big investment in F&C products. Could you maybe talk us through what timing that might take in the cost please? Thank you. 
Sigve Brekke: No Pakistan, your question was related to growth slowing down, was that what you said? 
Nick Lyall: Yeah, a little. I was expecting a bit better growth this quarter given some of the sim tax cuts and other things coming through. So is there anything in there, that maybe is dragged back, bruised a little bit or was it extremely strong and we are expecting better figures with the tax cuts coming through maybe into next quarter instead. 
Sigve Brekke: No, I'm quite happy with the growth in Pakistan. I really think that we are now taking our fair share of the market. Despite us having some disadvantages when it comes to the expected position, and we see now that our model where we are going very, very granular, going into really small pockets of the population, seeing where can we actually utilize the network strength where we have it, and what can we do also in areas where we may have some congestion issues.  And going forward, but Pakistan, remember Pakistan is also affected by the COVID. Even though there is no nation-wide restrictions or lockdown, they are out in the villages and out in remote areas there are effects. I'm actually very pleased with what I have seen in Pakistan, both in the second quarter and in the third quarter and we will see that to continue.  In Sweden, no, we are not talking about major investments. We are talking about sharpening our market position in the main, with the main brand in the more high end segment. So its distribution, it's marketing, its product and services remember. When I talked about that we have migrating out, migrated our customers over to a new BSS platform. In that migration period we have to freeze, we were not able to launch new products and services. Now we are able to do that.  So it's a combination of I would say all the four P’s: product, price, place and the whole marketing mix that we are working on. So how long that would take? I cannot give you any guiding on that, but this is the management team’s main focus right now. 
Nick Lyall: Okay, that’s great. Thank you. 
Operator: Next question from Frank Maao from DNB. Your line is open, please go ahead. 
Frank Maao : Yes, good morning, everyone. And my questions relate to energy prices and CapEx really, two separate things. But starting with energy prices, I noticed that there seems to be no price effect of costs in Sweden and that part is bit between markets, but given the fairly sharp rises in the Nordics in terms of the variable, dollar prices, or electricity prices. Could you please give us some sense of whether or not there is an overhang there or like or do you have fixed contracts, fixed price contracts and what the duration of those might be? What we can expect going forward with regards to potential price effects as we go into Q4 and next year? So that’s on energy prices. And then on CapEx and the 5G roll out in particular, given the supply chain disturbances that we have seen globally, which also is affecting telecom equipment to some extent, do you see any delays in – protracting lead delays or protracting lead times from vendors for 5G equipment. For instance in Norway where you are pursuing this fixed wireless access strategy as well that you have mentioned. And do you see any pertaining price pressure on that to – or CapEx inflation to where you would like to perhaps pay up a little bit to ensure delivers in time. Thank you. 
Tone Bachke: Should I start with energy? Yes, thank you Frank. You are correct in your observation that there is quite a big difference in how the price increases impact our markets and you mentioned the Nordics and it is as you say. We have different pricing structures, whereas we in Norway have to a large extent spot prices which very many has in Norway and particularly those that maybe don't have energy as such a big part of their cost base as many others. And then we have a larger degree of fixed contracts in the other Nordic markets.  We also of course observe that there are different pricing structures in these markets. I will not go into the duration of the contracts and things, but we currently don't see that there is an overhang as we see it as of this quarter. 
Sigve Brekke: On your second question, supply challenges, we are in close and frequent contact with both Erickson, Nokia and Huawei, and from neither of them we are hearing that this is going to be a problem in our markets. So it seems like we will be able to continue our rollout plan in Norway, in Finland, in Sweden and then also we are starting in Denmark. So of course this is an issue that they are following very, very closely, but as of now the vendors have told us that in all markets this is not a concern, at least in the near future. 
Frank Maao : Okay. Thank you. 
Operator: We’ll take our next question from Andrew Lee from Goldman Sachs. Please go ahead. 
Andrew Lee : Yeah, good morning everyone. I had two questions. Firstly is on Sweden, and I guess your positioning in the market has been problematic for many years and as has been the case to some of your other large Nordics than on domestic markets. Like here on your – just as to how you are going to go about and try and improve things, but ultimately we’ll see mixed success in the past on that front. So the question is, what else can you do to sort out Sweden and you specifically, is M&A an option at this point in time? There have been some rumblings of the EU being more open to some levels of consolidation. Obviously you need the EU to be open, and you need a seller or someone to deal with. Do you think that’s an option as we go into 2022 to finally sort out this business?  And then secondly just on the energy costs, thanks for your detail and highlighting what's going on in the quarter. I wonder if you can maybe give us how your finding that in the ongoing inflation into your guide for the full year. Thank you. 
Sigve Brekke: Seems like they are hanging Sweden on me. Tone, if you can take the energy and then I’ll do Sweden. 
Tone Bachke: Yes. Of course we do see that in the markets where – which has so far been impacted by increased energy prices, that can be expected also to continuing into the fourth quarter, and we see that still at least now we are in the end of October and we also see high prices here in Norway, which is part of the picture we also saw in the third quarter. And that is of course, you see it's mainly Pakistan and Norway where we see the impact from the prices and then we saw the volume on the other markets. But this is part of our outlook of course for the year. 
Sigve Brekke: Now, then Sweden. Let me address your M&A question with a very general answer. And that you know we are not doing that answer market specific. We are continuing to look for structure opportunities across our portfolio. That's the rationale behind Malaysia, and if we see opportunities in other market, we will pursue them also, if they were lucrative, so that’s a general answer.  But then to the operation, we are not giving up Sweden, and I think you should recognize that Telenore is quite good at turning things around. If you look at Denmark where we also had challenges some years ago due to the competition and due to our market position. Now Denmark is having a stellar performance. Look at Norway, tough competition. We continue to lead the market, we continue to growing in the segment. Look at Pakistan, also some challenges if I go back a year, how we have turned that around. Look at Thailand, in a much better position now than before. So this is something that, I think we have demonstrated our ability to do.  In Sweden it has taken time, and that is also related as I said to the more infrastructure transformation that we have done. But now I’m quite confident that we now know what to do and we want to participate in a growing Swedish market. There is no reason why the Swedish market shouldn't be a growth market, like we see in Norway for example and we want to take our fair share of that.  So I don’t think I can go more into it than that, but this is the main issue that Tone and myself is having, and also the main issue that the Swedish management is having with Bjørn Ivar Moen as our new CEO in Sweden, with a lot of experience from the Norwegian markets, have it both from the B2B segment in Norway, from the B2C segment in Norway and also for a month he was acting CEO in Norway. I think he will take with him the best of what we experienced in Norway and try to improve our position in Sweden. 
Andrew Lee : Thank you. Just as a follow-up. Do you think M&A is even an option in Sweden given what you're hearing or seeing from the EU regulatory backdrop?
Sigve Brekke: Another nice try. Again, a general comment to that. We don’t know how the EU commission or the competition commission is going to look at competition views going forward. In ally of the European markets, we know that there is an upcoming appeal to the European Court which of course we will be looking at, but I don’t think that you will get an answer to that before someone is bringing a case, a merger case in front of the competition authorities, then you will get an answer of that, so we don’t know.  We hope that they now have a little bit different view on this, not least also after they – what you have seen in the pandemic or should I call it the tendency that this society also in Europe have a strong connectivity players, but you don't know. 
Andrew Lee : Thank you. 
Operator: Next we have Adam Fox-Rumley from HSBC. Please go ahead.
Adam Fox-Rumley: Thank you very much. You made a couple of references to increasing competition in Thailand in your presentation and I wondered if you thought this is really an inevitable consequence or response to dtac needing to focus domestically or whether or not you can highlight any other factors that were at play there.  And then secondly, because you are right, sort of the kind of forefront of comp decommissioning in Europe, I would like to know kind of practically what’s good? What your plan in the next five quarters for the [inaudible] offered in Norway. I mean when you guys get into the project, do you need to step up awareness, you know kind of marketing for awareness purposes, what are your concrete plans for the next few quarters. Thanks very much. 
Sigve Brekke: No, for the coming quarters it’s a pull and a push effect. We see now that customers again are coming out of the COVID is demanding more and more quality high speed services. At the same time the supply of that is us running full speed of fiber rollout and also on 5G rollout and also the using the fixed wireless access as a product. So now we are doing whatever we can actually to supply those customers, that were to migrate from the couple legacy into more future proof technology.  So that’s the way we are handling that. I cannot give you any kind of forecast per quarter in the coming five quarters, but we are doing as good as – as much as we can now and at the same time the customers are really asking for these services.  What we also see is that not only we are able to migrate most of those customers over to future prove technology, but most of them also take up our TV first. So the fiber customers also take the TV products, which is an additional potential for us to drive the revenues. So then of course we will be left with a long tail. We still have an issue with some of the wholesale customer stuff we have. We hope that we will be able also to offer them future proof technology, so that we also then can migrate them out of the copper network and then completely shut it down.  What was the other question? Was it on Norway? 
Adam Fox-Rumley: It was on the competition that was in Thailand. 
Sigve Brekke: Yeah, yeah sure. So, I will say that what we have seen in all our markets, let me start with that, is that when the industry is struggling due to revenue declines coming out of the COVID lockdowns. We are all starting then to kind of arrest that decline with new competitive offers. We have seen that in Malaysia, we see that in Pakistan, Bangladesh and we’ve also seen that in Thailand. So it’s a kind of industry action to trying to do something with declining revenues and so I think it's more that.  But of course it also has to do with dtac now strengthening its position domestically and that is coming out now from having a network that we had issues with. Remember what the transformation we have done in Thailand over the last two years. Getting access to 2.1 Network, 2.3 Network, 900 Network now leaving behind the 850 Network, getting access to the 700 frequency, all that has happened in a very, very short period of time. It’s a massive network transformation.  And now I will say that we are in a very competitive 4G network based on the 2.1 and 2.3. We now also have a competitive network based on the 700 within the roller areas. And that is what we also see coming through now in the customer service. And of course when we are strengthening our position, there may be a direction from other competitors.  We are not going to chase market share as a subscriber market share for the sake of the market share in Thailand. We are value driven. We want to take our fair share of hopefully a growing industry revenue base. 
Adam Fox-Rumley: Thank you very much. 
Operator: Our next question from Usman Ghazi from Berenberg. Please go ahead. 
Usman Ghazi : Hello everyone! Thank you for taking my question. I got two please. The first one was on towers in Asia. I mean we’ve been hearing some news about E.Co expanding in Thailand for example. I mean I know that towers you’ve highlighted that Nordics is a priority over Asia, but just given these market developments and the weakness in Asia that you’ve seen from now, can tower monetization in Asia be brought forward? That was the first one.  And then the second question was just on the cost savings that are expected to come from the copper shutdown. I mean given the pace at which you are going at, can you remind us of the timing of these savings and whether these savings can be delivered earlier than you might have previously expected. Thank you. 
Tone Bachke: Yes, I could start with the cost savings from copper. We are of course having some gradual cost reductions as we go along, but as we also said, the biggest chunk will come after we are able to shut down the network and that will of course come after we have exited the tail also. So this will come in a few years’ time. We expect the biggest part of that cost to go away.  When it comes to towers in Asia, you are correct, that we've had to a different – we have a bit of a different strategy in Asia. We have a more market-by-market approach and we are looking into towers and we have been doing so. So far we have not established a holistic strategy, but this is of course part of our agenda in Asia, but it’s not directly linked to the agenda we have in the Nordics. 
Usman Ghazi : Thank you. 
Operator: We’ll take our last question from Stan Noel from Bernstein. Your line is open. Please go ahead. 
Stan Noel: Hi! I got a question on Malaysia. A few weeks ago Erikson announced its ownership in the GMD. So it looks like the single wholesale 5G network is becoming more and more of a rally and I wanted to know how you expect regulatory framework to develop with 5G. And in particular, will MNOs directly negotiate with DMV or do you expect the regulators to set the whole process in the country. Thank you. 
Sigve Brekke: Yeah, we don’t know that yet. So what has been going on the last few quarters is more the technical testing. Because if you are to them becoming a wholesale buyer of 5G, it needs to work with your existing 4G networks, so that part we have been focusing on.  The commercial part of this, the pricing model, and also what you are asking about, it’s still not agreed on and of course it’s important for us as an industry to make sure that we are not taking value from the mobile operators and then passing on to this consortium. So these are discussions that now are going on between the industry and the government on consortium. And on this topic I think the industry is very aligned. So let’s see what those discussions or negotiations we will result in. Its early to say. 
Stan Noel: Okay. Thank you.
[End of Q&A]:
Operator: We have no further questions. I will hand over the call back to the speakers for any additional or closing remarks. Please go ahead. 
Tone Bachke: Okay, that finishes Sigve?
Sigve Brekke: It does.
Tone Bachke: Yes? Thank you everyone for calling in and thank you for the questions and have a nice day and afternoon! 
Sigve Brekke: Thank you. 
Tone Bachke: Thank you.